Operator: Good morning, and welcome to the Hilton Worldwide Holdings Inc. Fourth Quarter 2025 Earnings Conference Call. All participants will be in a listen-only mode. After today's prepared remarks, there will be a question and answer session. Please note this event is being recorded. I would now like to turn the conference over to Mr. Charlie Ruehrer, Vice President, Corporate Finance and Investor Relations. You may begin.
Charlie Ruehrer: Thank you, Chuck. Welcome to Hilton Worldwide Holdings Inc. fourth quarter and full year 2025 earnings call. Before we begin, we would like to remind you that our discussions this morning will include forward-looking statements. Actual results could differ materially from those indicated in the forward-looking statements. Forward-looking statements made today speak only to our expectations as of today. We undertake no obligation to update or revise these statements. For a discussion of some of the factors that could cause actual results to differ, please see the Risk Factors section of our most recently filed Form 10-Ks. In addition, we will refer to certain non-GAAP financial measures on this call. You can find reconciliations of non-GAAP to GAAP financial measures discussed in today's call in our earnings press release and on our website at ir.hilton.com. This morning, Chris Nassetta, our President and Chief Executive Officer, will provide an overview of the current operating environment and the company's outlook. Kevin Jacobs, our Executive Vice President and Chief Financial Officer, will then review our fourth quarter and full year results and discuss our expectations for the year. Following the remarks, we'll be happy to take your questions. With that, I'm pleased to turn the call over to Chris.
Christopher Nassetta: Thank you, Charlie, and good morning, everyone. We appreciate you joining us today. We're pleased to report a solid end to what was another strong year for Hilton Worldwide Holdings Inc. In 2025, we expanded our portfolio of brands, grew our pipeline to a new record, and strengthened our nearly 125 million member loyalty system with new partnerships and loyalty tiers, all of which we believe sets us up for continued growth in 2026 and beyond. Together with our team members and owners, we have delivered a solid year on both top-line and bottom-line performance. For the full year, system-wide RevPAR growth was up 40 basis points year over year, driven by strong performance in EMEA and growth in group and leisure transient. Industry-leading net unit growth outperformance in non-RevPAR business lines and cost discipline drove record adjusted EBITDA of $3.7 billion, up 9% year over year. In 2025, we returned $3.3 billion to our shareholders, the highest total capital return in our history, even with the softer than originally anticipated RevPAR, demonstrating the power of our capital-light business model. Turning to results for the fourth quarter, system-wide RevPAR increased 50 basis points year over year. As strong international performance and solid group demand were offset by softer U.S. government demand and weaker international inbound into the U.S. In the quarter, leisure transient RevPAR was up 2.3%, driven by international strength, especially in EMEA. Business transient RevPAR was down 2.1%, driven primarily by headwinds from the U.S. government shutdown. Group RevPAR was up 2.6%, driven by strong international group growth and company meeting demand. System-wide RevPAR for the quarter was strongest in December, up 1.7%, with strength in leisure and group and a meaningful pickup in business transient. Positive trends continued into early 2026, with group leading, including strong in-month group bookings, solid leisure demand, and continued business transient improvement. For the first quarter, we expect RevPAR growth of between 12% year over year, including the impact from the recent storms in the U.S. As we look to the year ahead, we feel optimistic that 2026 will be stronger than 2025. We believe this will be driven by continued strength in EMEA, improvement in APAC, and an improvement in the U.S., driven by stronger economic conditions, major events, easier comps, and continued limited supply. For the full year, we expect system-wide top-line growth of 1% to 2%, with international performance stronger than in the U.S. Turning to development, during the fourth quarter, we opened nearly 200 hotels, totaling nearly 26,000 rooms. For the full year, we added nearly 100,000 new rooms to our global portfolio, representing full-year net unit growth of 6.7% and our biggest year of organic openings. We achieved several milestones in the year, including reaching 9,000 hotels globally, celebrating 44 brand country debuts, opening our first property in four new markets, including Tanzania, Rwanda, Pakistan, and the U.S. Virgin Islands, and opening our 1,000th luxury and lifestyle hotel globally. Our luxury lifestyle brands continue to expand around the world, comprising nearly 30% of our total openings in the quarter. Lifestyle had a strong year, with all eight brands reaching record room counts and nearly all expanding their presence in new markets. Within our collection brands, for the full year, we opened over 11,000 rooms across 18 countries, including nine country debuts. It was a record year for tapestry growth, opening over 40 properties in the year, including most recently the debut of Tapestry in Japan. Within luxury, we continued to build strong momentum after the Waldorf Astoria New York opening, and in the fourth quarter, we opened our second Waldorf Astoria in Shanghai and celebrated the brand's debut in Helsinki. Strong interest in Waldorf Astoria continued into the fourth quarter as we announced agreements to expand Waldorf Astoria into several iconic cities across Greece, Spain, Oman, and Malaysia. In 2025, we also expanded our LXR footprint with new openings in France and Greece and announced plans to debut the LXR in the Turks and Caicos in the next few years. Conversions remain integral to our growth and accounted for roughly 40% of room openings in 2025, demonstrating the strong value proposition our system continues to deliver for owners. Against this backdrop of continued owner demand for conversion-friendly brands, we have been evolving our brand portfolio and creating opportunities to build the next chapter in Hilton's growth. We recently launched Apartment Collection by Hilton, which marks Hilton's entry into the fast-growing apartment-style lodging segment that represents a clear white space in the market. As a collection brand, it provides owners with flexibility to preserve a property's unique character while benefiting from Hilton's powerful commercial engine, global distribution, and award-winning Hilton Honors loyalty program. Apartment Collection by Hilton, alongside our other newly minted brand, Outset Collection, will be incremental drivers of our conversion momentum in the years to come, as will new brands, several of which we expect to launch later this year. Even with robust openings in the fourth quarter, our pipeline reached the highest level in our history, surpassing 520,000 rooms, reflecting both year-over-year and sequential growth driven by expansion across strategic markets and brand categories. New development construction starts in the U.S. were up over 25% in 2025, a trend that we expect to accelerate even further into 2026. Globally, for 2026, we expect new development construction starts to be up over 20%, bringing us back close to 2019 levels, signaling healthy developer appetite. As we look ahead, we expect that our robust global pipeline, strength in conversions, construction start momentum, and industry-leading brand premiums will support sustained net unit growth of between 6% to 7% for 2026 and beyond. We also remain focused on initiatives to drive increased loyalty, engagement, and guest satisfaction. In 2025, we strengthened our Hilton Honors Program by making loyalty both more accessible and more rewarding by introducing a faster path to elite status and a new premium tier in our program. We also launched Hilton Honors Adventures, an extension of Hilton Honors that invites travelers to immerse themselves in bucket-list-worthy travel, elevating loyalty benefits across land and at sea. Hilton Honors Adventures partnerships now include Explorer Journeys and AutoCamp, and we expect more to come as we continue to prioritize ways Honors members can earn and redeem points. Overall, we continue to see extraordinary performance of Hilton Honors in 2025, with the program now approaching 125 million members. During the quarter, Hilton was again named the number one world's best workplace by Fortune and Great Place to Work for 2025, becoming the first and only hospitality company to top both the global and the U.S. list twice. Our brands continue to receive recognition as well, and in 2025, Entrepreneur's Franchise 500 extended our seventeenth consecutive year run with Hampton by Hilton ranking number one hotel franchise in the lodging category. In total, 12 brands were recognized in the 2025 rankings for their performance and franchise value. Overall, we are proud of our performance in 2025 and believe our results continue to reinforce the power of our business model. Our brand-led, network-driven, and platform-enabled strategy will continue to help us achieve our robust growth trajectory and meet the evolving needs of our travelers around the world while delivering great returns to owners and shareholders. We're confident that we're well-positioned to continue driving strong performance in 2026 and beyond. Now, I'm going to turn the call over to Kevin, who will give you a few more details on the quarter and expectations for the full year.
Kevin Jacobs: Chris, good morning, everyone. During the quarter, system-wide RevPAR increased 50 basis points versus the prior year on a comparable and currency-neutral basis. Growth was driven by strong international performance and solid group demand. Adjusted EBITDA was $946 million in the fourth quarter, up 10% year over year and exceeding the high end of our guidance range. Our performance was predominantly driven by strong performance in EMEA, non-RevPAR driven fees, and continued disciplined cost control. Management and franchise fees grew 7.4% year over year. For the quarter, diluted earnings per share adjusted for special items was $2.08. Turning to our regional performance, fourth quarter comparable U.S. RevPAR decreased 1%, largely driven by pressure across business transient and group, which underperformed expectations due to the prolonged government shutdown. For full year 2026, we expect U.S. RevPAR growth towards the low end of our 2026 system-wide guidance. In The Americas outside the U.S., fourth quarter RevPAR increased 3.8% year over year, driven by strong demand in both leisure and group segments. For full year 2026, we expect RevPAR growth to be in the low single digits. In Europe, RevPAR grew 5.3% year over year, led by strong leisure activity in Continental Europe due to events and holiday-driven demand. For full year 2026, we expect low single-digit RevPAR growth in the region. In the Middle East and Africa region, RevPAR increased 15.9% year over year, driven by strength in leisure and group demand due to major events. For full year 2026, we expect RevPAR growth in the mid-single-digit range. In the Asia Pacific region, fourth quarter RevPAR was up 9.2% in APAC ex-China, led by growth in Australasia from major events and strength in Japan and South Korea. RevPAR in China declined 1.4% in the quarter, an improvement to prior quarters, but remained constrained by weaker group demand due to the government travel policy. For full year 2026, we expect RevPAR growth in Asia Pacific to be in the low single digits, with RevPAR roughly flat in China. Turning to development, as Chris mentioned, for the quarter, we grew net units 6.7% and now have more than 520,000 rooms in our pipeline. We continue to have more rooms under construction than any other hotel company, with approximately one in every five hotel rooms under construction globally slated to join the Hilton portfolio. We expect to deliver 6% to 7% net unit growth for the full year. Moving to guidance. For the first quarter, we expect system-wide RevPAR growth to be between 12%. We expect adjusted EBITDA to be between $875 million and $895 million and diluted EPS adjusted for special items to be between $1.91 and $1.97. For the full year, we expect RevPAR growth of 1% to 2%, adjusted EBITDA of between $4 billion and $4.04 billion, and a diluted EPS adjusted for special items of between $8.65 and $8.77. Please note that our guidance ranges do not incorporate future share repurchases. Moving on to capital return. We paid a cash dividend of $0.15 per share during the fourth quarter, bringing dividends to a total of $143 million for 2025. Our Board also authorized a quarterly dividend of $0.15 per share. For 2026, we expect to return approximately $3.5 billion to shareholders in the form of buybacks and dividends. Further details on our fourth quarter and full year results can be found in the earnings release we issued earlier this morning. This completes our prepared remarks. We would now like to open the line for any questions you may have. We would like to speak with as many of you as possible, so we ask that you limit yourself to one question. Chuck, can we have our first question, please?
Operator: Thank you. The first question will come from Shaun Clisby Kelley with Bank of America. Please go ahead.
Shaun Clisby Kelley: Hi, good morning everyone. Thanks for taking my question. Chris, like, would love to start with you both in the prepared remarks and overall sound a bit more optimistic. So we always value your kind of overview of where we kind of sit with the broader economy and the lodging industry. If you could just kind of give us your kind of latest thinking there and maybe specifically, a few thoughts around the business transient environment, particularly large versus small corporate. I think on the small or medium size, we've seen some weakness. Wondering what you think about that as we kinda turn the page into 2026. Thanks.
Christopher Nassetta: Yep. Great question. And, obviously, probably what's the number one thing on everybody's mind. So a lot of this I covered on our last call and as I've talked to individual investors, you know, have shared these thoughts. But you know, if you think back about what I said, you know, on the third quarter call, I was reasonably optimistic about '25, you know, being a decent year, but '26 and, frankly, beyond, you know, at least for the next couple years. Being better. And my underpinning of that, which you know, I still believe is that you have some macro forces and some micro forces that are converging in a really positive way. Number one, being, you know, inflation does structurally continue to come down. If you really factored for the lag effect of the housing input, is over 30% of the contribution to the inflation numbers and you factor for what it is real time, would argue it's actually lower than, you know, than is being reported. So that's a good trend. What does that mean? That means expectation which I believe that rates will continue to come down, which will be stimulative and positive in a bunch of ways. You see it this week and broadly, you know, you're in, you know, a very big deregulatory environment under, you know, in The United States under this administration, which is obviously I think, real positive in a bunch of different ways, whether that's financial services, energy, AI, you know, basic and infrastructure, reshoring, you know, there is a massive amount of that is going on. You have fixed tax policy that got done last year that is just you know, that is super business favorable and investment favorable and, you know, you expect to see that start to benefit. And then a massive investment cycle, the obvious being like the AI complex, just the major tech companies in the last two weeks alone, I think, when I finished adding it up, they are going to spend this year $700 billion. So let's just say there's gonna be a lot more than a trillion dollars spent on that. In you know, by that complex all of the energy that goes along with it, all you know, everything around the AI complex, I think, is huge. But then the other things going on more quietly are reshoring, whether that's in rare earth minerals and pharma, chips, all of that stuff is going on. I mean, the chips act that got passed during the Biden administration, very little of that money has been spent. And then you have core infrastructure where we approve, you know, congress approved $1.6 trillion when you add up all the pieces. Again, a very small part of which has been invested at this point. When I talked in the third quarter, I said like, intellectually, it's really hard for me not to be you know, when I lift up above the noise of day to day politics to not feel like those things are gonna be really good for the economy and it's undeniable. But at the same time, I said, you know, I don't know exactly when it's gonna come, And at that point, we were not seeing a whole lot of evidence that that that was sort of seeping into the economy. Although I was very confident, as you remember, that that it would. By the way, the other thing going on is we're at the beginning of one of the greatest productivity booms in American history with the, you know, the whole AI Once those investments get done and over the next several years of adoption, you have massive opportunities on productivity. My belief then and now was that we will have economic growth picking up, and most importantly, because it impacts our business, that it would be broader based economic growth. It would not be as much this K economy where the very high end, the very wealthy keep doing well, and the middle class and below continue to struggle to pay for groceries and gas and their utilities. But that you would start to ultimately because the middle class has to be involved to make all this happen, particularly the investment side that you would start to enter a world where you would see middle class real wage growth. By the way, I think right now, you're starting to see the first prints of middle class real wage growth. That means people have more disposable income, and they will be spending more money including on our products. When you really get down to it, the bulk of our system, I think everybody's system is more concentrated because the middle class is the biggest percentage of the population in the mid market. And so, That's what I thought last quarter That's what I think now. The only difference I would say, is that we're starting to see it. Now I'm gonna be really honest. That and it's obvious, so I should be honest, is the data set that I'm looking at are not you know, months and months, quarters and quarters. What I'm really looking at as I said a little bit, when we talked about December is the end of the year got got a lot better than we thought. Even with the storms, the beginning of this year has been better. And it's been better in the ways we'd want to see it. What does that mean? That means midscale, upper mid scale, You know, it means midweek, it needs it means business transient to your question, Shaun, we're seeing a meaningful change from what we were seeing earlier in the fourth quarter and certainly in the third quarter. Whether that's sustainable or not, I don't know. But it feels to me if all the other macro conditions that I was talking about, if those continue to develop it sort of has to be the beginning of a trend. By the way, the other thing it's not macro, it's micro, but I said micros, we have a bunch of like, benefits this year, which you guys are aware of. Number one, the comps is said, are easier because I mean, you could have other things happen, but liberation day was a pretty big deal and the biggest government shutdown in American history was a pretty big deal. You hopefully don't repeat those at that, you know, at that scale. And we have a bunch of unique events, which you're well aware of, with the World Cup, America's 250, that are really stimulative to travel at the same time all these other things are going on. And so you know, I you know, yes, I have you know, we're at the beginning, I think of a trend. We have to get more data, you know, and, like, see it really sort of continue. But I I like what I'm seeing right now. And and as a result, you saw in our guidance that we think that 26%, as I had thought last quarter, will be a lot better than than 25. And I think we have very solid underpinnings to back that up. In the first quarter, by the way, in the guidance we're giving, super solid. At this point, we're halfway through the quarter. We have very very good sight lines into the rest of February and even into March, and it feels that it feels good in all the ways I just described. So that's the reason for my increased optimism is data. That I'm actually able to see data that says what I hoped and thought would happen is starting to happen and hopefully is sustainable.
Operator: Your next question will come from Daniel Brian Politzer with JPMorgan. Please go ahead.
Daniel Brian Politzer: Hey, good morning, everyone. Thanks for taking my question. You touched on this a bit, but maybe in a different lens. The AI and technology front, I mean, this continues to obviously evolve at a very rapid pace. So I guess the question is, how close are you to maybe announcing some partnerships there, if that's on the horizon? And then how do you think about the opportunity here both from the OpEx side internally and then externally from the revenue side in terms of distribution.
Christopher Nassetta: Yeah. I mean, I talk we talked a lot about I think on the last call too and I suspect we'll be talking about this on every single call because, obviously, it's important. And as you can imagine, we're spending a huge amount of time on AI throughout our whole organization. And one of the things that I believe gives us a meaningful competitive advantage is that we have a modern tech stack. And relative to our competitive environment, I don't think anybody can claim what we can claim. And what is that? Well, you know, it's not me just patting my chest. It affords us much greater flexibility and agility to adopt AI in a bunch of really interesting ways. And so you can imagine we're exploring all those. As I said last time, there's sort of three big buckets of things. The first is just like creating efficiencies in the system. Some of that could benefit G and A. By the way, you've seen some of the benefits. I mean, G and A is lower than it was six seven years ago, and that's not all AI, but part of it is process reimagination, making ourselves better, applying the use of technology in ways been doing that forever, and AI is just another amazing tool that allows us to speed some of that up. And so we're looking at tons of things, like, you know, hotel openings is the one that we our teams are deep in the middle of. Like, you know, so many people touch you know, the process of opening a hotel, dozens and dozens, like, you know, creating, you know, massive efficiency around connecting all those dots. And we have dozens of other use cases in that area. And then there's the whole distribution space, which is the crux of your question. We tend not to make big announcements until we've done things. We're working with many of all the big players out there, the OpenAI, the jet, you know, Google. We're working with all of them. We're part you know, not not but the big ones that are big in the travel or trying to either are or trying to be. We're involved in all of their tests and, you know, we're developing the connectivity with those platforms, and I'm super optimistic about that. We're also because we have a very modern tech stack, doing some really interesting things in sorta natural search connected to booking and the experience within our own platforms some of which you'll start to see, you know, at some point in second quarter, which I think are really cool. My own view on the distribution space is quite I said, probably said this last time is simple. Like, we believe we have the best products, deliver the best service with the best culture. Our loyalty that continues to be super relevant, and the customers want what we do because we're good at it. We do a good job. Like, if you look at the hard data, market share, review site index, we perform really well. Customers wanna find us. We believe what's going on with AI is spectacular. There's always risk, by the way. You know, like, not don't have my head in the sand nor does anybody here. But I think in our space, which is very hard to disintermediate because it's physical business, The opportunities are far greater, both in distribution and otherwise than the risks are. And why? Because if we keep doing a really good job the way we do it and customers want our stuff, they're gonna be able to find our stuff in what will be frankly a more competitive environment that we've seen heretofore. They'll be able to find it in a way that's easier with less friction and that's more efficient. And so my belief is this is a pathway to lower distribution costs broadly, for our owner community if we're smart, never forgetting that the one thing at our scale, I mean, look at The US alone, we're 13 plus percent of the market, If you look at the quality market, no offense to the whole market, we're probably well over 20% of the market. We have complete control over rate, inventory, pricing, availability, and if we don't want to share it, nobody can get it and we have products that people want. I view that as super valuable. So as we think about how we engage with everybody in this space, and we are, as I said, already engaged in all the ways you would think with the big players I think it's a very symbiotic relationship. I think customers, for them to have platforms that are in travel, they sort of need our product and for us to show up we want to work with them. Think it's quite a balanced equation, as I said. I think the net result is generally good on distribution cost. The last bucket I talked about, which is super exciting and we're doing a bunch of stuff, is just the whole customer experience. I mean, so I talked a little bit about, like, the dreaming function in our own systems, a being able to not just dream and you know, sort of natural search and AI enabled, but then, you know, have it be seamless to booking, have it then be seamless to pre-arrival and planning your stay, on property experience problem resolution, post stay, you think about with the use of AI, the data, the tools that we already have and that we're building out in a much more fulsome way with a fully modern tech stack that we can put so much where we have an experience with our customers that is digital with AI and with our platform, we can really revolutionize how customers interact with us. And then we're at the physical side of it, we have the ability to create tools and we are doing it that enable our teams to have so much more information for people to plan their stay, on property, problem resolution, etcetera. That I think it's really, really game-changing. And we've been, I'm not gonna get into everything we're doing. Obviously, it's competitively set. But we're doing a whole bunch of stuff. We have I don't know, 40 use cases plus and growing, in all of those buckets around AI working with a bunch of great partners, many of the names that you read about. In the news every single day and have super close engagement. And I feel really listen. They were in the early days of AI, like, you know, for sure. But I feel like we're in a really good position based on the platform, the efforts we're making, yeah, and progress we're making as this evolves.
Operator: The next question will come from David Katz with Jefferies. Please go ahead.
David Katz: Hi, good morning, everyone, and thanks for taking my question. Noting in the press release and what you talked about with the outsized amount of investments going toward lifestyle and luxury and some of the commentary this morning. I'm wondering whether both the duration and the economic intensity of those contracts continue to grow over time. And whether there is kind of an acceleration in trajectory as more and more of those rooms come online. Obviously looking at fees and cash flow, etcetera, the output of the NUG, but I'd love some further insight there. Thanks.
Christopher Nassetta: Yes. I think I understand the question. I'm not 100% sure I do. But I think if the basic question is, as you now have 1,000 hotels and it's becoming a real business and each of the individual brands within the category, which eight brands start to get scale and momentum, they sort of feed on themselves, you know, in the sense of delivering. You know, they build out a network. They build market share even higher. As they build market share even higher, they get adopted by more and more owners. And, you know, ultimately, the economic model, you know, starts the flywheel starts spinning. I think that you're right. Yes. So many of these brands, while we have a thousand hotels in luxury lifestyle, it's a lot of hotels. I mean, but still, you know, we have 9,409 thousand 400 and change. We are we're open two or three a day, so I always lose track. It's still a relatively smaller percentage. Many of the brands, you can think of like Tempo and Motto and even Canopy that are doing really well. They're very they're still graduate for that matter. They're still relatively you know, small brands. Even though they're performing well. And so, yeah, I do believe like we've seen in every other brand, and it won't be different particularly in lifestyle. Luxury luxury is a little bit different game, but in the lifestyle categories, as you start to build these out and create real network effect, you hear me say network effect a lot in a broader context, but in a more micro within individual brands that customers ascribe meaning to, you know, if you don't have enough locations, it's hard to sort of serve their needs. And the more you build that network effect, it does have sort of an effect of creating, you know, of spinning the flywheel faster. So I think a bunch of those brands, are early days and getting ready to really explode. You know, certainly some of the ones that have larger footprint potential like Tempo and Motto, and that's why we are looking in that space at a brand between which I've talked about, in between Motto and Canopy because we think it has a TAM that is very large. Luxury, listen, doing I mean, we've got in terms of dots on the map at this point, we got like 600 dots on the map, 650, I think, close to that as of today. We've got another 100 plus in the pipeline mean, the Waldorf Astoria New York opening was magical. I know some of you were there, and hopefully, you enjoyed it. You know? And that's the grand dame that started the whole brand. And so while it's one it makes a big difference. If you look at the openings, I noted a few of them. That we had over the last year. If you think about the openings we're going to have this year, and you look at the pipeline, like, Waldorf's on the move. Like, Waldorf is it's take it takes time. Luxury is a hard space. It takes time. It's one of the first things I got here eighteen years ago, and I remember saying to John Gray, we got to really get luxury, And we had, like, basically one molder of Astoria, you know, and here we are today with Open and in the pipeline, you know, close close to a 100 of them. So we have good things going on with Conrad, LXR, I mentioned that in the prepared comments. So I feel super good about what's going I mean, I think from a loyalty point of view, we have as many dots on the map as anybody in the products that if I look at redemption behavior, our customers are really loving particularly with the SLH relationship. And then I look at our core, you know, the core three brands we have in luxury, you know, they're performing well, They're pipeline is spectacular. Growth growth rate, you know, Growth rate looks really, really good over the next few years. So We're getting momentum across all of them. We're when you wake up in ten years, you know, I think it's like by volume and numbers and economics, it'll be you know, the upper mid market, you know, lower upper ups market where you're gonna have the most action just because that's where you know, the largest segment of customers is. And then the others will do great, but, you know, the volume the volume ends up where you would think it would end up. It ends up where the population you know, demographically is.
Operator: The next question will come from Stephen Grambling with Morgan Stanley. Please go ahead.
Stephen Grambling: Hey, thanks. Maybe another angle on Nug. You've been able to build, as you said, a best in class pipeline while just as importantly keeping CapEx and key money effectively flat in the guidance. So love to get your latest thoughts on how overall development environment is changing both in terms of competition and then also the use of key money as rates and liquidity are improving? And any thoughts on the balance of new development versus conversions from here?
Christopher Nassetta: Yeah. I'll start. Maybe Kevin will finish whatever I miss. Listen, we have been really disciplined. I'd say it every time about key money. If you look at the broader market, key money is definitely edged up, but if you look at you know, if you look at our numbers, like, rooms under construction, the numb the percentage of deals that key money is, like, 9%. Hasn't really changed a lot. If you look at the average, we're saying up a couple 100,000,000 this year. Our average over the last bunch of years, it goes up, it goes down a couple years ago, we were 100. Last year, we were a little high. It's sort of as average plus or minus a couple 100,000,000. And if you look at the types of deals that we're doing, like, last I look at the data, I think it's 85% or 90% are in the upper upscale or above in terms of where we utilize key money. So That's where it's always been, the more complicated, bigger, full service, convention, and luxury. That's where, you know, historically, there's been more demand for key money to get deals done. It's much more competitive. And that's still where we see it. I mean, is there a has it creeped in a little bit? Yeah. But listen, when it comes down to it, like, we think our brands perform better. And we you know, with a little bit of key money versus a lot of market share, we think, is a bad trait for most owners. And we do we I you know, our teams are well equipped to sort of, you know, discuss that discuss that trade off. But in the end, owners as you are, as as buyers of the stock, they're trying to make money, and they're ultimately gonna I think, evaluate most owners are going to evaluate that trade off in a rational way. So you know, we we we feel good about our ability to keep doing what we're doing. It's not without some pressures and market dynamics, but if we keep delivering, you know, profitability the way we are, I feel I feel good about it. In terms of conversions, I think maybe the only thing I missed you know, obviously, last year, you know, was a big number, 40%. You know, we tend to see in, you know, more challenging environments, those numbers go the numbers go up. That's sort of a standard thing, which wouldn't be surprising. Now at the same time, we have a lot more shots on goal. We been adding brands. I talked about a couple of departments in outset, So we do think, know, conversions are gonna be a bigger part of our future than they might have been on average over the last ten years. I do not believe they will stabilize at 40%. You know, I think they will be in the range of 30 to 40% and it'll depend on, you know, sort of what's going on in the world. But I don't think anytime soon, we'll go back down into the twenties. If you look back you know, on average over know, over, you know, an extended period of time, it's been more in the mid to upper twenties. I do think we're sort of more permanently above that, both because the performance of the brands just more shots on goal with varied conversion friendly brands. So what did I miss, Kevin?
Kevin Jacobs: I just on the financing environment, I'd just add. I think it's good and getting better and I think convert that supports conversions because the cash flow producing assets easier to finance than ground up. Although we did, know, we we referenced the ground up improvement stats in our prepared remarks for a reason that, you know, our brands the other thing in addition to conversions with them being cash flow producing assets, our brands are more financeable, right? So just in the same way that owners think they're gonna make more money with us and they do, lenders have more confidence that they're gonna get repaid if our if our brands associate with it. And so it becomes that much easier to finance. That's the only thing I know. Good to add.
Operator: The next question will come from Steven Donald Pizzella with Deutsche Bank. Please go ahead.
Steven Donald Pizzella: Hey, good morning, everyone, and thank you for taking our question. Just thinking about the 1% to 2% RevPAR guide for the full year in the first quarter, can you talk about how you expect RevPAR to play out from a quarterly cadence perspective throughout the year? Knowing the comps do get easier, you get the World Cup in the middle of year. And then it sounds like increased optimism in select service RevPAR accelerating. Could the RevPAR outlook be conservative?
Kevin Jacobs: I would give Kevin the first part and I'll take the second. I mean, I'd say it always can be. Right? I mean, I think we you know, Chris talked a lot about the underpinnings that we see in the economy and it will it's we're halfway through the first quarter, right? So there's a lot of year but I think I would say they always can be if the things that we're seeing in the data persist, you know, of course, it could be better. And then in terms of the quarter, know, there's a lot this is you know, we've been doing this a long time. I think this is probably the year with the most complicated puts and takes on calendar that that I can remember in a while. But, you know, yeah, World Cup is second going into third, the government shutdown was fourth. So I think it's pretty well balanced over the course of the year in terms of the way it's gonna play out. And, you know, you could always surprise to the upside. I mean, World Cup's a good example. Right? Depends on who makes it through in into the final rounds and which countries are those, and it'll generate more demand. It can always vary, but I think it's pretty well balanced for the course of the year. But well said. I mean, I you know, when you look at everything I covered you know, answering Shaun's question about the macro, I applied and Kevin just reiterated some of the micro things. And then you apply you know, the comp issues that you had last year. Again, that's not to say we won't have other new things this year. It's hard not to feel pretty good about that range of I mean, not going go so far as to say I'd take the over versus the under, but I probably would.
Operator: Next question will come from Robin Margaret Farley with UBS. Please go ahead.
Robin Margaret Farley: Great. Thank you. I have a small question for Kevin and maybe a medium-sized question for Chris, if that kind of adds up to one question. Kevin, EPS two, but give it a shot. Yeah. The you know, your EPS guide typically, EPS grows at a higher rate than your EBITDA growth. And just kind of wondering what it's not obvious like your share count is down, looks like your tax rate is going be down. So the EPS growth rate sort of not not being higher than EBITDA growth? Is there just something obviously I'm not seeing? And then the medium-sized question for Chris. Chris, you mentioned your in your remarks, that you'll have more brands later this year. And I know last year, you talked about some things that you were gonna launch that you have, and it's not like maybe that would sort of have filled out your portfolio. So just wondering what is it that is it like white space things like apartment by Hilton or like because it it had seemed like maybe your portfolio would be pretty filled out with the brand launches you had talked about for last year. So just kind of your thoughts on that. Thank you.
Kevin Jacobs: Kevin, answer the first the part of your first part of your one question. Yes. Robin, I don't know if it's a small question because EPS growth is pretty important to us and to investors, but it's a relatively small answer. It's I mean, you mentioned share count. We guide the share count. And then you got a couple of onetime items primarily related to interest expense associated with not just re-leveraging as EBITDA grows, but also implied in our guidance is moving closer to or actually at the midpoint of our range of our guided range for leverage is close to three and a quarter. So it's just those two factors, and that's all there is to it. If you adjust it for those two things, EPS growth is in the low double digits. The is always gonna happen just because we're always gonna be buying back shares. And the and the second At some point, we're not gonna keep increasing leverage. So that's having the effect. So it's those two things and that's it. Yeah. Just transitional. And second, I mentioned one. I mean, we have we're always in the skunk works looking at lots of things. The things that I think are most imminent are another lifestyle brand in between Motto and Canopy. So know, sort of say, upper mid scale, lower upper upscale, segment. We think there's a huge TAM for that as we've been thinking about, you know, both Motto and Canopy, which are doing great. You know, there we just think there's a big white space as we talk to customers and do the research. And as we talk to owners around the world, we think there's a lot of demand. And we think, as I said before, there there's a big TAM undergraduate, which I, you know, has, I guess, been written about because I have talked about it. I think I talked about it on the last call. We're really excited about that. That's imminent. You know, in the next sixty days. Again, you know, graduates fabulous, performing super well, pipeline's building really well. But they're, you know, but they're a whole bunch of markets hundreds and hundreds just in The US alone, probably 400. That really you know, can't afford to build a full graduate, which is an upper upscale brand. And need something more in the mid scale space. But they like the theme and the idea of what graduate ethos of the brand. And so we're gonna we wanna give all those college towns the same opportunity to have a really great graduate approach, and undergraduate, we think, is a fabulous way to do that. We have a couple other things we're working on. We you know, that are you know, will be a you know, we'll talk more about as as we get a little further along. Student housing associated with graduate something we're working on. I wouldn't say it's imminent, but we think the TAM is reasonable and you know, and worth doing, and so we're doing the work. And you know, a couple of other ideas, but I'll leave it. The two that are coming soon, you know, are the lifestyle and well, they're both in lifestyle category lifestyle upper mid scale and grad undergraduate.
Operator: The next question will come from Elizabeth Dove with Goldman Sachs. Please go ahead.
Elizabeth Dove: Hi there. Good morning. Thanks for taking my question. I wanted to touch on the non-RevPAR fee side of things. I think back at your Investor Day a few years ago now, you'd called out the algo in the kind of low double-digit range back then. You mentioned this morning, it was kind of an outperformer. Last year. Anything you'd share on how this evolves and the outlook for that over time, I guess, on the credit card side of things?
Kevin Jacobs: Yes, Lizzie. I think we probably will stick to generally you referenced the Investor Day generally what said and what we said has sort of played out that we think that our non-RevPAR driven fees will continue to grow at above algorithm. Some of that's a credit card, some of that's timeshare. Some of that's our purchasing business. We've got some other ideas that we're working on in terms of, you know, commercializing our customer base to continue grow the business. I think we've done a pretty good job of that over time. And then our credit card program, I'm sure Chris may want to add something to this. Look, we have a fantastic credit card program that continues to be among the best and most popular cards in our industry and with Amex. Drives a lot of customer engagement, drives great economics both for our system and for us. And beyond that, we don't we tend to not talk all that much about it in terms of you know, some some of the details are competitively sensitive, but we think that that will continue to grow above algorithm as well for a long time.
Operator: The next question will come from Brandt Antoine Montour with Barclays. Please go ahead.
Brandt Antoine Montour: Hi, good morning everybody. Thanks for taking my question. I wanted to ask about group business. I don't think you guys gave a PACE number, but a PACE for 26 would be would be helpful. And then and then the real question though is really about how, you know, we came into last year, right, with really good group pace and then, of course, group in The US specifically did not it wasn't realized to that level because obviously because of tariffs. Would you say sitting here today knowing what you know about how that business works, we would need a shock to the demand side kind of like something we saw last March for group not to be an acceleration this year versus last year.
Christopher Nassetta: Yes. You would. I mean, right now, we feel really good. I say coming into the year, relative to our expectation for the year, we feel great. We're in sort of like mid single digits system wide group position. Up for the year, you know, and that's against, obviously, with a one to 2% RevPAR guidance, you know, something you know, an expectation that when we finish the year, it would be somewhat lower than that. We'll see, but we feel yes, we feel like we got the solid base on the books. We think group will be the outperformer this year. We would have thought that last year, but for the reasons you described, it didn't end up being the case. But if you look at the categories, I'd say we believe all three other major categories, group leisure and transient are going to grow for the reasons I've spent too much time talking about, you know, driven by the macro tailwinds. We do think it will be in that order. You know, we do think it will be group at the top, short any sort of unforeseen events leisure, and then and then business transient. But we think we'll see healthy healthy growth across all segments of the group. Leading the way.
Operator: The next question will come from Michael Joseph Bellisario with Baird. Please go ahead.
Michael Joseph Bellisario: Thanks. Good morning, everyone. Just sort of along those same lines, just in terms of the booking window, maybe what changes have you seen recently? How has that evolved or improved? And then more confidence from meeting planners? Maybe what are you hearing from them recently? Thanks.
Christopher Nassetta: Yeah. But the booking window is a been stable. It actually extended, by one day since last quarter. So not, you know it went from twenty six days to twenty seven days. So, I mean, not I would say that's relatively stable. But and what we're hearing from frankly across the board, what we're hearing from all in all segments feels pretty good. If you think about the business transient, we're talking to those customers all the time. I think the general theme is they all believe they're gonna travel more. This year for all the reasons. Like, you know, everybody's gotta get out than what they think gonna be a little bit you know, stronger economy. And they know they're gonna have to pay a little bit more because that's life and the environment we're in. And I'd say same on the group side, you know, we talk I'm talking to our head of sales all the time and I think I think, you know, his view is, you know, the trajectory you know, again, short, unforeseen circumstances that rattle that rattle, people, in terms of broader macro stuff. The sentiment the sentiment is quite good and, you know, people people have a healthy attitude about continuing to to book business. So it all feels pretty good.
Operator: The next question will come from Patrick Scholes with Truist Securities. Please go ahead.
Patrick Scholes: Great. Thank you. We certainly missed your Pollyanna polyaneism at the ALICE conference two weeks ago. I take any offense at that. How about instead of Pollyanna's? I you know, my my vocabulary that in a positive way. Wasn't the most upbeat conference. I get certainly could've used your mean, if we could've used your enthusiasm there, that you spoke about. I was otherwise occupied doing during my day job. Understood. Understood. A credit excuse me. A question on your credit card contract. Is there anything in your existing credit card contract that would allow for a step up in the royalty rate? And if so, how likely might that be that it would get triggered?
Christopher Nassetta: Okay. After yesterday, I suspect that we might get this question. Let let's Sure. We Kevin gave the answer. We're not gonna get into, like, and can't legally get into all the terms of Gotcha. It's contractually we redid our suffice to say, we read redid our deals and then many years ago, and then redid them again again a couple years ago. We feel really good about the contract relationship we have with all of them, Amex obviously being the most dominant We feel really good about the growth rate that's built in you know, to the contract as well as the natural growth that's coming because the cards and acquisition of customers and the spend on the cards given given customers love the cards. Is very favorable. So I would not set an expectation that there's some big announcement coming from us You know, we're we're doing great. It's growing above algorithm, and we are highly confident it will continue to grow above algorithm for many years to come.
Patrick Scholes: Okay. Thank you. And I'll also take the over on RevPAR as well.
Christopher Nassetta: Good. I like it. Why are you being such a Pollyanna? Oh, well, no. I mean that in a positive way.
Patrick Scholes: No. The the the perfect perfect storm of holiday shifts and World Cup and
Christopher Nassetta: Alright. We'll see. Thank you.
Operator: The next question will come from Trey Bowers with Wells Fargo. Please go ahead.
Trey Bowers: Hey, guys. Thanks for the question. Lot of what I was gonna ask has been asked already, but I guess it's been pretty quiet from you guys on an inorganic basis for the last year. And you haven't really needed it. Organic growth has been best in class. But just curious what you're seeing out there in terms of opportunities, you expect that that should pick up over time? Just in anything around the M and A environment as we go forward. Thanks so much.
Christopher Nassetta: Yeah. I get asked a lot, obviously. You know, if you look at the history, of the time, I and we have been here you know, eighteen going on nineteen years, other than two years ago with two, what I would describe, one micro transaction and one you know, relatively small transaction. We have not done any M and A, so all of our growth where we're, what, I don't know, two or three times system size in that timeframe has been organic. Where we've gone from eight brands to 26 brands You heard me talk about another couple babies were getting ready to birth. So we think that we have built a very, very good skill set. I would argue industry leading skill set to drive organic growth, which is not just, you know, development teams doing a great job, which of course they are. It's about our commercial teams doing a great job delivering performance. It's about our brand teams doing a great job, you know, delivering great products that customers want. We think it is you know, it is our alpha. That is that is what we've done, I think, with all respect. A bunch of great competitors. We've done more of and better than our competition. And as you know, that is a heck of a lot better way to drive overall returns. Because every time we do it, the returns on that are infinite versus going out and buying things. We found unique circumstances in the two we did a couple of years ago that were really driven by the times, like interest rates spiking, the environment slowing down, you know, things got a bit rattled, we we found some, like, unique seams that on things that we really liked. But that is not the core of what we do. I would I would say we look at everything that's out there. I don't see anything. I would not I would be I would be I would say I don't see anything on the horizon. I always have to say, because in this seat, you do never say never, but don't miss that. Not working on anything that I think is real. I think you should think about us as an organic growth story. We'd love what we have. We love you know, the skill set we've we've built, and we think it is the best way to drive the best returns, and we are you know, equally focused on capital allocation to the running the business. Obviously, the more we can do this organically, the more free cash flow spits out the more shares we buy, the more we become an even better serial compounder and that's our strategy. So you know, it you know, I grew up long ago as a Kappa. It's like, you know, we gotta run the business well, got to drive share, drive growth, have great brands, do a great job for customers. Have a great culture, all that. But when we spin it out the other end, we got to allocate capital really in intelligently and you know, again, we think we're pretty good at that think we can keep growing at this level. That we're talking about, the six to seven range for an extended period of time without having to buy growth. And we think that's going to drive a better outcome in terms of how we perform over the next one, two, three, five, ten, fifteen years. As it as it has over the last ten years.
Operator: Ladies and gentlemen, this concludes our question and answer session. I would like to turn the call back over to Chris Nassetta for any additional or closing remarks. Please go ahead.
Christopher Nassetta: As always, we appreciate you guys spending the time with us. As been a dynamic environment. Obviously, over the last year, you could sense my and our optimism about seeing sort of, you know, things turning the corner. We'll look forward to hopefully how we continue to see the first quarter. things improve along the lines that I described after we finish I hope everybody has a great day and a great week. Take care. Thanks.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.